Operator: Good afternoon, and welcome to Twilio's Q4 2017 Earnings Conference Call. My name is Sherrill, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to turn the call over to Greg Kleiner, Vice President of Investor Relations and Treasurer. Mr. Kleiner, you may begin.
Greg Kleiner: Thank you. Good afternoon, everyone, and welcome to Twilio's fourth quarter and year end 2017 earnings conference call. Joining me today are Jeff Lawson, Co-Founder and CEO; George Hu, CEO and Lee Kirkpatrick, CFO. The primary purpose of today's call is to provide you with information regarding our 2017 fourth quarter and full year performance, in addition to our financial outlook for our 2018 first quarter and full year. Some of our discussion and responses to your questions may contain forward-looking statements, including, but not limited to, statements regarding our future performance, including our financial outlook, impacts and expected results from changes in our relationship with our large customers; our market opportunity and market trends; the growth of our customer base; customer adoption of our products; our momentum; the benefits of our business model; our delivery of new products or product features; and our ability to execute on our vision. These statements are subject to risks, uncertainties and assumptions. Should any of these risks and uncertainties materialize or should any of these assumptions, as outlined in our earnings release and the documents referred to in that release, prove to be incorrect, actual company results could differ materially from these forward-looking statements. A discussion of the risks and uncertainties related to our business is contained in our Form 10-Q filed with the SEC on November 14, 2017, and our remarks during today's discussion should be considered to incorporate this information by reference. Forward-looking statements represent our beliefs and assumptions only as of the date which such statements are made. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events except as required by law. Also during this call, we may present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which we issued a short time ago. We encourage you to read our earnings release as it may contains important information about GAAP and non-GAAP results as well as the reasons why we present guidance for non-GAAP financial measures of loss from operations and net loss per share but not the comparable GAAP measures. The earnings release is available on the Investor Relations page of our website and as a Form 8-K furnished to the SEC. Finally, at times in our prepared comments or in response to your questions, we may offer incremental metrics to provide greater insights into the dynamics of our business or quarterly or annual results. Please be advised that this additional detail may be one time in nature, and we may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations website at investors.twilio.com to access our earnings release, periodic SEC reports, and a webcast replay of today's call or to learn more about Twilio. And now I'll turn the call over to Jeff.
Jeff Lawson: Thank you, Greg. And welcome everybody to this quarter's call. I am incredibly proud of Twilions around the world for finishing out 2017 with yet another strong quarter results. As you can see from our guidance, we feel we are poised for a great year ahead. Investments we are making on both the product and go-to-market fund are working well. One quarter after total revenue exceeded $100 million. Base revenue did the same thing in Q4 coming in at $105.3 million. Base revenue was up 40% year-over-year and even a higher at 62% when excluding Uber. And from a product mix point of view, application services revenue eclipsed 10% of total revenue in Q4. Additionally, we successfully diversified our revenue base in the last year. Reducing our customer concentration while growing the top line substantially. All-in-all, a great way to finish the year. A few weeks ago we held our annual company kicks off called Gather, to prepare the company for the year ahead. The top two priorities for 2018 that I outlined to Twilions who came in from around the world were to continue our evolution into a strategic software platform for customer engagement, while expanding our position as developer's first choice for communications. All Twilions from the R&D teams tasked with delivery and continued innovation of our customers to the go-to-market teams tasked with engaging our customers to the G&A team supporting this growth are all aligned from this priorities. But this kick off had a special significance. As we are kicking off our tenth year as a company. Ten years ago we saw that the future of communications was going to be software. And that the world's software developers would build this future. So we started Twilio to bring programmability to the world's communications and make communications a first class citizen in the toolbox of every developer building applications. Whether in a door room or in the cubicle. Whether as a start up inventing a new market or Fortune 500 company reinventing itself. So we set out on our mission to fuel the future of communications by democratizing access to this large but esoteric industry. And we started by building our voice API and then soon after our SMS API. And making a phone ring or setting a text message was software. Well, that's just magical for a developer. The opportunity with these traditional channels alone is massive. And we will continue to invest here to further differentiate our offerings. Voice and messaging are the primary drivers of our revenue. And we expect these products to power our growth for many years to come. But we also innovate beyond traditional voice and messaging because the full opportunity here is so much more. And each new capability leverage us the one before it, to make the whole even more powerful. So we began building on a wide variety of other channels. Voice, video, push, chat and beyond, into voice assistants like Alexa and social channels like Facebook messenger. All as components for developers to embed in their web and mobile apps to bring about new means of communications because now advanced, rich, contextual communication could be built right into their app, changing the nature of what's possible due to the shear flexibility of pure software. And as a company we looked at hardest this growing list of communication channels to engage with their customers. We thought the million patents emerged over and over and again. And the engagement cloud was born out of the many thousands of customers that we worked with over the years. Designed to address specific use cases and go deeper in each market, engagement cloud accelerates our customers' roadmaps and gets them productive faster. Yet it was always forms of communications, voice, messaging, in app, assistants, social networks and more. Companies are finding that more communication isn't the end game, but in fact they need better communications. More meaningful, more relevant, more tailored, more contextual. The every company needs to harness the power that software brings and the optionality present in all these new means of communication. And while these last few years, there have been about a proliferation of new channels, mediums and apps; it's also brought out a new frontier in machine learning and artificial intelligence. Last year, we started to drive more intelligence in our customers' communications. With our speech recognition API leveraging Google platform and capabilities in a 119 languages. And with Twilio understand our natural language understanding each other, build to enable free form machine understanding of human speech, spoken or written, voice or chat, now any developer can have the power of smart bot or assistant in their app and leverage the channel that is best for that use case. And this was naturally into the engagement cloud as well. We can now target specific use cases in an omni channel way with the intelligence built in to help companies engaged naturally with their customers across the entire lifecycle in whatever channel they prefer. And Twilio Studio which just entered beta is designed to help our customers leverage this bots and automated work flows too. We want to it becomes even easier for our customers to build on this complex work flows across the full spectrum of where our platform can now enable, and in particular allow users other than just developers to be part of building them out, expanding our opportunity even further. This continued evolution is what's driving our traction with new customers and growing our relationships with existing ones. Developers are bring us in the companies large and small, new and old, as Twilio's products become more strategic, we are increasingly getting enterprise life scope and C Suite visibility, relationships started by developers are now moving across and up our customer organizations. In our quarterly calls, it's our goal to highlight some of the most interesting new deals in the quarter to relay our progress. Let me turn the call over to George to discuss our progress on the go-to-market front. George?
George Hu: Thanks Jeff. The fourth quarter 2017 was spectacular for our go-to-market organization, as we continue to see encouraging returns from the investments we are making go-to-care resources. Our team closed a record a number of transactions in the quarter, successfully converting both account coming from our invest funnel, as well as deepening our relationship with existing customers. These include new relationships with companies across all geographies and segments, including Domino's Pizza Enterprise, the large franchisee for the Domino's pizza brand in the world. [Dansk], a leading European retailer, 1800 flowers, Caller View, Sale Block, Fill Solution and many, many, many more. We are also continuing to see tremendous momentum in the enterprise. And I'd like to highlight some of our new enterprise relationships. One of our most exciting wins in the quarter was with the GSA or the General Services Administration. The GSA is launching a Login.gov, a single website allowing the public to easily and securely access the programs of all the participating government agencies. Login.gov up is part the part of the governments overall initiative to modernize its infrastructure and transform how the government manages its cyber security. We are proud to help the GST with this effort, enabling two factor authentications as part of the sign-in process, to help secure the underlying systems. Login.gov is designed to be shared services amongst government agencies, with the CBP's trusted traveler program as the initial adopter of this service. We have already begin to provide QSA for well over million users and going forward, we will be working with the GSA to potentially bring other agencies on board the program as well. Another new relationship, I am particularly excited about, is with the major Fortune 100 retailer, this relationship came about due to our ability to work across both the business and technology group, establishing ourselves as a key partner in evolution of their customer experience and technology infrastructure. Our additional used cases involving messaging solutions for consumer facing applications and internal IT operations, as well as employee identification systems. But the ultimate goal is to help them create a centralize messaging service. A service intended to support communication that will improve in-store and digital customer experiences, logistics co-ordination, calls inflection and automation for their contact centers and increase the responsiveness of internal incentive management. The opportunity here is simply tremendous. As we are bringing our broad products suites to bear against a large variety of potential used cases, across a number of groups within the company. We also kicked up a new relationship with another Fortune 100 company in Q4. This time a major U. S. airline. This relationship started to take shape many months ago, with both our technical teams and business leaders attended SIGNAL, our annually user conference. The additional product is aimed to reducing the load on their contact center, by sending notifications regarding flight status, date changes, cancellations and other messages via SMS. But this is just the beginning as we are evaluating several other opportunities across the organization. Our pace of innovation and leading omni channel capabilities were key to establishing this new relationship. We also had success expanding existing enterprise relationships in the quarter. One of these I am particularly excited to highlight is with the Fortune 500 provider of insurance, banking and retirement products to more than 10 million customers. This is yet another successful example of our developer led model, as would starting with the self service developer account, spending less than $5,000 a year ago, and now expanded into our sales efforts into a seven figure transaction, using multiple products across both the programmable communications cloud and engagement cloud. This organization select Twilio over its incumbent provider based on Twilio's superior reliability, product breadth, service level and innovation. So as you can see, our go- to-market effort is working well. We are always looking to expand our reach, to maximize our opportunity. One of those opportunities I am very excited for 2018 is Studio, which expands different users who can build on top of Twilio platform. Since announcing this product at SIGNAL London in the fall of last year. We've already seeing tremendous response from customers and prospects. And we just launch the Studio certification program for our sales force and we expect to bring to Studio to even broader audience in 2018. Another strategy I am very excited about is find new ways to engage both developers, technical decision makers and the business at the same time. That's where our Engaged City Tours come in. We held our first two events in New York City and Melbourne, Australia, and response has been fantastic. We have seen tremendous attendance, customer response, momentum and pipeline come out of these two events, and so we will be expanding these, across the country and around the world in 2018, bringing the future of customer engagements to companies of all shapes, sizes and industries. Last but not least, I am excited that we are building a go-to market leadership team that can help truly Twilio on scale to a billion dollars and beyond. First, Sara Varni has joined us to become our Chief Marketing Officer, where she will tasked with scaling our marketing efforts around the world. Being the CMO of Twilio, comes with unique requirement, a candidate need a strong understanding of how to both engage developers as well as the enterprise. Sara has gained deep experience in both worlds of her last tenure at Salesforce, serving extensive work Salesforce platform early on in her carrier and then eventually becoming the SVP of marketing for Salesforce for its flagship product, the Sales Cloud. I had experience working with Sara and have witnessed her passion and creativity for building brands and success in taking products to markets first hand, we are all thrilled to have her on our board. Another key pillar of our strategy to expand our market presence is building out world class partner ecosystem, which I believe to be a key multiplier for our growth plans. Historically, Twilio has done a great job developing our solution partner channel, but we haven't focused much effort on systems integrators. To help expand both these programs, we just welcomed Ron Huddleston as our Chief Partner Officer, where he will be responsible for unifying our partner experiences for Twilio for our solution partners, SIs, buyers and retailers and growing our overall partner to be consistent. I believe this is a massive opportunity and so does Ron. Ron comes from Microsoft where he was the Corporate Vice President of the One Commercial Partner Organization meeting their efforts across all channels, ITs and systems system integrators. Prior to Microsoft, I had the pleasure of working with Ron at Salesforce, where he was the Senior Vice President for IoT Cloud and IoT Cloud and AppExchange Partners and he was instrumental in building out our entire AppExchange ecosystem as part of the sales force partner program. We are very excited about Ron and his collective experience given world class partner programs he will bring to our business in the future. Overall, our go-to-marker model will see tremendous momentum. We're growth our relationships with developers, we're adding capacity across all go-to-market functions globally to meet the demand and I couldn't be more excited about the future. Let me pass mike back to Jeff.
Jeff Lawson : Thanks, George. Before I turn the call over to Lee, I wanted to reflect on the past year. 2017 was a year of order of magnitude achievements for the business. We expanded the breadth and depth of our product line; add more fuel to our sales engine and added hundred of thousands of developers around the world. We hit volume milestone that I could have never imagined 10 years ago. A $100 million revenue quarter, a $100 million messages sent in a day. 100 countries with phone numbers. It's amazing to think that a company launched based on [Indiscernible] is now being used regularly by Fortune 100 companies to engage their customers, just phenomenal achievements. Even as we entered our tenth year, the pace at which we are growing and evolving as a company continues to amaze me. Yet amiss all these changed in the next 10 years, I am certain one thing will remain the same, our relentless focus on customers. You've often heard me describe Twilio as a success based business model. We succeed when our customer succeed. Our collective efforts for customer first and deliver value in all of the services we provide are driving this success. We're honor that a growing list of companies of all types is placing their trust in us as we lead this industry forward. I couldn't be more excited to lead this company into the next 10 years. As we have a lot left to do. Make no mistake; we are in early stages of a communications revolution. And this massive opportunity isn't confined to one vertical or one use case. It's driven by the near ubiquitous need to re-imagine the communications experience at virtually every company on the planet. In fact, governor recently projected that 30% of enterprises will embed communication into digital processes using APIs and modules from C past vendors by the year 2020, up from just 5% in 2017. Communications and particularly customer engagement remain incredibly fractured as many companies have barely begun to understand what's possible with a modern communications platform. We've just scratched the service of the communications market, but I know that we're up to the task to fuel the future of communications. Before I turn the call over to Lee, I did want to say a few things about the announcement we made today. Lee will be leaving us this year after we find the right person to take over from him. Lee has been an amazing leader for Twilio and has contributed tremendously to our growth and success throughout his six years with us. So Lee, on behalf of all Twilio's, thank you for all you have done for us. Now, to turn over to Lee.
Lee Kirkpatrick: Thanks Jeff. It's been honor to work with you and the rest of the team over the past six years. I started in Twilio as the second employee in the finance department. It's remarkable that when I started, we were at a run rate of less than $20 million, and today we have a run rate in excess of $450 million. To be able to contribute our rapid growth and help broad the outlook, this time period has been an amazing experience. But after six years here at Twilio, I have decided to take some time off. I'll be staying on Board as long as it takes for us to find next leader to help Twilio scale further over the next phase of its life. With that let's go deeper into another quarter of excellent financial results. Business performed quite well once again in the fourth quarter as we start continued momentum across our product line and around the world. Based revenue grew 40% year-over-year in Q4 and excluding Uber based revenue grew 62%. A dollar base net extension rate was 118% on a reported basis and without Uber it was 136%. Q4 was the toughest compared to prior year Uber results so this drag should lessen as we move pass this peak speed throughout 2018. Accordingly, we will continue to disclose these differentials through the next several quarters to help you with your modeling. As we rapidly growing our revenue, we've also diversified our business producing top 10 account concentration, 29% in Q4, 2016 to 17% in Q4, 2017. WhatsApp came in at 7% and Uber at 5%. Overall Uber played out largely as we've expected. They actually came in a bit higher than we outlined in our Q3 call. Some of the changes we anticipate didn't occur as fast as we thought. So we may see a modest decline in the next few quarters. Going forward, we still expect Uber to remain an important customer for us. However, given the reduced concentration and the overall high growth rates of the remainder of our business, revenue changes at Uber, up or down will no longer have a material impact on our numbers. Going forward, we will be returning to normal practices and no longer providing customer specific guidance. We have six variable customer accounts in the fourth quarter flat sequentially and compared to eight in the fourth quarter of 2016. Moving on to gross margins. Q4 results came in at touch high than Q2 results at 53.5%, consistent with what we outlined in our last call. For 2018, you should expect gross margins around this level or better. We discussed a number of the puts and takes at the analyst day. And I’d like to emphasize that gross margins are stable and under our control. As we've described since the IPO, we remain focused on doing the right things to grow the business long term rather than maximizing gross margins in the near term. We ended the year at 996 employees. You have our full year guidance in the release, but I want to provide some additional color on the expected quarterly progression of our earnings throughout this year. At a very high level, you should expect Q2 to be fairly similar in terms of operating loss to Q1, as we absorbed the full impact of the frontloaded hiring plan. We're still targeting Q3 for breakeven on the operating line and you should expect something similar in Q4 assuming will now occur in October. So to wrap up, we're extremely pleased with our continued execution of Q4 results and now look for the business. The core for our business continues to post strong results and we are excited to the road ahead. The twin engines of product innovation and our successful go-to-market efforts bode well for continued growth in the future. Before turning over to the operator, I wanted to thank everyone who's contributed to the Twilio's successful in my tenure. There is never perfect time to leave the company, but I'm thrilled to leave Twilio in such great shape for the road ahead. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Mark Murphy of JPMorgan. Please go ahead. Your line is open.
Mark Murphy: Thank you. Congrats on a very strong quarter, Lee. We are so sorry to see you go and just wanted to wish you all the best.
Lee Kirkpatrick : Thanks Mark.
Mark Murphy: So Jeff, I wanted to ask you that the growth of 62% in the core business ex-Uber. It's really staggering; it's hard to think those many other cloud revenue streams that are growing like that at this scale? And we understand that nothing grow 60% forever, but is there a certain glide pass that feels like it would be very sustainable for a while maybe, 20% or 30% or even more. Or if you don't think about it that way. Could you maybe just comment on the health of the business inputs overall or maybe the signals that you're seeing out there from the marketplace?
Jeff Lawson: Yes. Absolutely, Mark. This is Jeff. I'll answer the high level and I hand over to Lee to talk about modeling or things like that. At a high level, we are feeling very good about the developer first go- to-market that we've been building, where developers come in, they can start with Twilio and that bringing some opportunities in many shapes and sizes. And as we noted in the past, there is also multiple growth factors that we have in every account, whether that is customers, developers getting onboard, building a solution prototyping and then prototype turns into a beta which turns into a GA which turns into a global release like that product development life cycle, drives growth because every time you expand you drive more usage and then transfer revenue to Twilio. The second vector is when a developer builds the next used case, because you can use Twilio for many things, while it's also driving growth in an account. And then the third is just our customers are growing their own businesses have more people to communicate with that trans more engagements which again transfer revenue to Twilio. So it is about the high level of engine of growth that we have and we are very happy with that. Now let me handle to Lee, he can talk about specifics, [Indiscernible] modeling, I may think about it.
Lee Kirkpatrick : Yes, Mark. We feel very good about the growth rate in 2017, and keep in mind we did have some benefit from decent, but overall extremely strong growth rate across the company with and without Uber. And looking at next year, we are guiding into those low 30% growth rate, in terms of base revenue which we expect to -- which we feel really good of it, good about at our scale and we expect to grow at these strong rates are going forward in the future.
Mark Murphy: Okay great and then as well George, I just wanted try to clarify something from your comments. Are you saying that in Q4 alone you added new logos in the enterprise which included the Fortune 100 retailer or Fortune 100 airline and then the GSA which I -- we sort of think of as the gateway to a lot of the U.S. Federal government. Are all of those new relationships in Q4 or were some of those extensions?
George Hu : Those are absolutely new relationships in the quarter, and I did talk about the financial services transaction which wasn’t extension, which was different than the rest. So we see momentum in both areas; new logos as well as expansion with existing customers.
Mark Murphy : So then I guess I want to ask is there all of those being new wins, what is it say about the cohort value if you will that you added in Q4, I mean am I right to think, if you have added three discrete opportunities of that kind of magnitude. Am I right to be thinking that the cohort value you added in Q4 when you think about what it could translate into in future years that’s pretty big dollar amount?
George Hu : Well, Mark, you have to remember that in our model, I mean we sign a transaction with the customer and they of course have to build their application. And then they have to scale and get going and so there is ramp to revenue, every one of our customers tends to start a small revenue level and ramp over time. However, I think you are right, that we are excited of potential of these accounts and all the new accounts that we added throughout the year and in Q4 and I think that’s speaks to the potential for this company in 2018 and beyond.
Operator: Your next question comes from the line of Ittai Kidron of Oppenheimer. Please go ahead.
Ittai Kidron: Thanks, hi guys and congrats on a good quarter. And Lee also good luck to you going forward. Twilio, I guess it's a near-term, almost like crypto currency another crypto currency I guess.
Lee Kirkpatrick : Last a bit longer.
Ittai Kidron: Yes, excellent, very good. And will last longer after that as well. Wanted to dig in a little bit into the dollar expansion rate, very nice to see that excluding over its holding up very nicely, which is quite impressive to see how through multiple years customers keep expanding, they keep expanding. I guess Jeff; maybe you can give us a little bit more color on how much of that expansion right now is really driven by applications services, versus your traditional voice and messaging business? How much take or attach rates do you see? I mean you have talked about how it separates in revenue, but maybe you can help us understand the attach rate of application services to customers?
Jeff Lawson : Yes. The application services is overall small portion -- we are excited about the growth ahead in 10% this quarter, but remember the application services still a pull through the core communications revenue, because generally speaking those application services are either use to power the communications or a result of the communications like in the event of like recordings sourcing like that. And so the application services aren’t generally speaking almost all is attached to some communications with the customers spend. And the exact percent maybe based on used case or exactly which application service it is, but they do go kind of hand-in-hand together, but we are seeing nice uptick of those applications services and we’re excited about the growth we are seeing there.
Ittai Kidron : Is there any concentration revenue wise in a small number of customers for application services, how broad based is this adoption?
Jeff Lawson : There are no customer concentration issues of application services.
Ittai Kidron: Okay good, and then lastly Lee for you on the gross margin, you have talked about it being at current level or better through the year in 2018, like can you help us kind of specify a little bit more detail what are your working assumptions around that with regards to FX, with regards to Uber contribution any other important puts and takes it that might influence this number help us put that in context?
Lee Kirkpatrick: Yes. So as you pointed out there are puts and takes that FX at current levels and we have accounted for that in our gross margin. We have talked about how we expect Uber to remain an important customer for us, but they're not overly material going forward. And then if you go back to the Analyst Day, some of the key drivers for the business and the application services having an impact, positive impact on the gross margin and then offsetting that impact of international business which we like because that's brings us scale and opens our opportunity, but that has a dampening impact. But overall, we feel really good about gross margin. They're in our control, they are stable. And again we'll manage those puts and takes going forward.
Operator: Your next question comes from the line of Pat Walravens of JMP Securities of JMP Securities. Please go ahead. Your line is open.
Matt Spencer: Great, thank you. This is Matt Spencer on for Pat, thanks for taking my question. Who do you guys compete with most frequently I guess in Q4 specifically? And also if you could drill in a little bit on the large deals you've highlighted in the enterprise in Q4. Were there competitive dynamics you could share with us in those as well? Thanks.
George Hu : Sure. So good question. So first of all, our competitive dynamics have not changed materially since I gave the update on the Analyst Day. We have a very fragmented competitive environment, where there is no one single or even two single competitors that are dramatically, it's a very fragmented landscape and there is not one that's worth pointing out. In terms of the specific transaction they were all difference. And they based on the used case, they based on dynamics. So there were no like common competitor in those transactions and the fact that I think they're all different. So if I remember right.
Operator: Your next question comes from the line of Brent Bracelin of KeyBanc Capital Markets. Please go ahead. Your line is open.
Brent Bracelin : Thanks for taking the question. Lee it's been great working with you and certainly wishes you the best on the next endeavor. One question for you and then a follow up for Jeff or George. I want to go back to kind a gross margins. It looks like we are seeing gross margins stabilized here at 53% this quarter and last. Do you think this is kind of the bottom or how we thinking about kind of the gross margin for 2018 obviously there is a lot of puts and takes around FX and Uber? But do you think this 53% is now kind of the bottom and we should have some lever that could improve going forward?
Lee Kirkpatrick : Yes. And thanks for the kind words, Brent. Essentially yes, it was subject to puts and takes. Again subject to noise excuse me. All along as we've been looking at the business right, we told you we are focusing on revenue growth, making customers successful long term business. So we're not managing the gross margin line item in the near term. That being said, the gross margins are stable under control and we feel very good about these numbers going forward.
Brent Bracelin: Okay, fair enough. And then I guess Jeff or George as you think about the philosophy on the trade-off between growth. Your $1 billion kind of revenue goal and achieving kind a positive cash flow. Obviously that the free cash flow burn was a nearly double kind of this year versus last year. What are the levers as you think about this trade-off between kind of the growth goal, the $1 billion goal and achieving positive cash flow? Specifically when do you think this business could become free cash flow positive on a sustainable basis. And are you willing to continue to invest to get to the scale that you want but before you get there. Just trying to understand how you're thinking about growth versus breakeven positive cash flow?
Jeff Lawson : Yes. This is Jeff. I'll talk about it philosophically and then I'll hand it over to Lee to talk more numerically about that. As far as philosophy goes I think that we are obviously optimizing for growth, we see huge potential with the earliest stages of a very long gain due in a market, and a very large market opportunity that is the shift of communications to software. With that said, we do believe that with the financial constraints is reality. And that we can grow the company responsibly which is something that we've always done over the history of the company, and I think you'll see that. So we think that responsible growth is good way to build the company for the long term, and that's what we've been investing in. And so with that we want you --we can invest in the sort of more quantitative aspects of that.
Lee Kirkpatrick : Yes. I mean from a financial standpoint I mean George said, discussed some of the go-to-market momentum we have. And we have great unit economics across the business in terms of sales rep productivity and revenue expansion. We also have great product development velocity. So we are continuing to invest and grow the business. We are committed to breakeven in the third quarter and a free cash flow positive should follow a quarter or two after that. So we got great economics on the business. We are going to invest to win but we are -- one of our values has been frugal so we will be breakeven and cash flow positive soon.
Operator: Your next question comes from the line of Mike Latimore of Northland Capital Markets. Please go ahead. Your line is open.
Mike Latimore: Hi, great. Thanks a lot. I guess just on the international side of things. What percent of revenue or traffic came from international markets? Can you share that?
Lee Kirkpatrick : 25% or revenue came from company's headquarter outside of the US.
Mike Latimore: Okay and then in terms of the studio product. I mean is that successful as your -- what kind of revenue levels would you sort of envision that generating? Is that sort of single digit million or tens of millions? I am just trying to get sense of the potential impact from Studio?
Lee Kirkpatrick : Yes. Mike, this is [Indiscernible], so as we talked about with our product, as we launched in the UK some time to ramp up, we don't give specific revenue guidance by products. But we will bring it onboard, that will have an important impact and across the corresponding pull through revenue will be important. But again this product does take time to ramp up. And that contributes to that very consistent expansion that we talked about. So we launched product, we bring customers on board and there is very steadily consistently grow which leads to that steady dollar base expansion rate.
Jeff Lawson : And Mike one other thing to consider, this is Jeff, Studio -- we are excited about it, we launched it very end of Q3. We just got into beta very beginning of January which we are very happy about, but we are still in the stages of learning from customers about the early stages of bringing our product into market. And so we are very bullish on it, it's really a product lifecycle.
Operator: Your next question comes from the line of [Charlie Arlic] of Bard. Please go ahead.
Charlie Arlic: Hey, guys, thanks for taking my questions. Could you unpack the Q4 revenue out performance a bit more for us? What was the source of the outside this quarter exactly? Any details there that you can would be great? Thanks.
Lee Kirkpatrick : Yes. I mean it wasn't outstanding quarter for us. I mean I think just the few factors. We are definitely seeing the benefits of the go-to-market enhancement that George and team have brought on board so that's an important factor. Q4 is traditionally a strong quarter for us. And so we did see some seasonal impact in terms of retail, crypto and ride sharing. And again a strong like that reflects the power of our platform, customers can get onboard and scale and grow quickly and easily. And when they are successful, we share that success which means the upside in revenue.
Operator: Your next question comes from the line Bhavanmit Suri of William Blair. Please go ahead. Your line is now open.
Bhavanmit Suri: Hey, guys, can you hear me, okay? First of all, congrats, nice job there. I am going to start off with a gross margin question. Lee, we are going to miss you but maybe it's the last one I'll ask you. So I know you are not guiding the gross margin specifically, but you said a couple of times now breakeven kind of Q3 timeframe. So just doing a math that's sort of imply like mid-50s gross margin. Again, I guess I am just trying to figure out is that make sense to you because obviously the investments in sale and marketing and R&D will continue. So if would just go back into that, does that seem logical? I guess that would be my first question.
Lee Kirkpatrick: Yes. I mean we did give a little more sort of the guidance in the past in terms of gross margin; it was being right in the level of Q4 or better. We feel really good about the number. I mean we will continue to invest in go-to-market. We are going to continue to invest in product development, but based on momentum of the business, we are committed to hitting that breakeven number.
Bhavanmit Suri: Got you, got you, okay, helpful. And I loved to touch on the partner channel, this could be for whomever but how is the partner channel shaping with ASI, you are just not being addition of wrong to lead the partner channel. I guess you think about that what is the first sort of initiative to build out that channel. And sort of you got lots of different type spot, technology, OEMs, VARs and then SIs. How are you thinking about that? Just give us a little bit more color strategically. Thank you.
George Hu : Great question. So I am excited about our partner opportunity. Historically, Twilio had tremendous strike with solution partners. At our Analyst Day, we had Zendesk, for example, a great solution partner built on our platform but we have huge untapped opportunities and you mentioned SIs as a great example. And from my experience, I think that the way you are building SI eco systems, first of all, it takes time to do that. And you typically start within production of smaller regional systems integrators to kind of the build capacity, build momentum, learns. And then you also plan to seize for a longer term you know, GSI global systems integrator relationships. And those take years to cultivate but other sales force probably it took like a decade of to really get the full power of that while we’re growing. So I think we have tremendous potential with these integrators, our platform model, and our kind of bias with customers to kind of build customs solutions. It’s an amazing state for systems integrators. And I'm excited because Ron has deep experience in this area. So I think that's a definitely an area that I expect him to plant some material seeds. One thing that we’ve already done is washed our first part of certification programs so we can get SI, individual consultant certificate on the platform. I think that's the first step, we’ll continue to grow up our capacity there. And onboard more systems integrators over time but certainly this is a long game. And I’m excited about the potential of it.
Operator: Our next comes from the line of Stephen Bersey of MUFG Securities. Please go ahead. Your line is now open.
Stephen Bersey: Hey, thanks for taking my question. And Lee, I wish you all the best. As a Twilio API developer for over six years, Studio video user, I got to say I was pretty impressed by the Studio release. And I guess, I'm just wondering about if there's any initial user feedback so far, anything to guide on there, whether it's from usage data or a direct comments that's encouraging for you.
Jeff Lawson : Yes, thanks Steve. Yes, feedback has been great, probably similar to what you just said; accelerate time to development, so ask more people to collaborate on it, meeting all sorts of new conversations inside the customers. As new people are able to start building solutions on Twilio, common feedback has been first get into beta and now into beta, get in to GA, so of course we can loud out and clear. More widgets to do more things and that sidebar just adds the capabilities of Studio, but all in all, we’ve had a good degree of customer feedback and a good response so far, given the products yield, give or take three months in the market.
Stephen Bersey: And maybe if you can just help me out on Studio's as far as looking at it. The way I'm looking at it really from usage is if the catalyst really across all your core APIs. That's what's being accessed. That's what's being dragged and dropped. So I'm looking at it as accelerating adoption of your APIs, as well as your new Twilio apps. And I guess, I'm just wondering if that's the way investors should be looking at it.
Jeff Lawson : Yes. I think so. Like we talked about application and services, the adoption of application and services of which Studio is certainly one, drives usage of our other API’s, of our other communications, capabilities as well. So when you see the Studio, you are typically building some sort of interaction then that will drive SMS, voice calls, chat video et cetera. And so if you’re providing a fast turnaround for customers, it is also expanding universe of people there that we touch and we reach and we can start building on top Twilio so I think that is a good way to think about it.
Operator: Your next question comes from the line of Jonathan Kees of Summit Research. Please go ahead your line is open.
Jonathan Kees : Great. Thanks for taking my questions. I’ll add my congrats to the quarter. My first question is focused more on your investment priorities for next year. And we can dig a little deeper that’ll be great. You talked about optimizing for growth, product development. I guess I also, I’m looking at your new CMO, your new partnership program. Are you looking to ramp up OpEx here with S&M coming up little bit higher there, invest more in, in reaching out to the end users of developers. Are you looking to expand your sales team there? Obviously you’re – since you’re still developer focus you are going to ratchet up your R&D. And, well try not to – any details like, are you going to focus also on your gross margins which I know it has already been asked in this call already, but are you looking to like push down your pricing with the carriers, anything like that?
Lee Kirkpatrick : Yes, Jonathon, this is Lee. I’ll start with the first part of question and then hand off to George. So in terms of our sales and marketing, we’re really just enhancing whatever the go-to-market efforts we have in place. What we’re doing, we’re investing significantly, and that's inherent in our guidance. We have an extremely efficient model that's developer led model where we take advantage of the platform. So we have the luxury of being able to continue invest in sales and marketing, but still having extremely efficient revenue acquisition model. So this year, we made some major investments. And in Q4 our sales and marketing with only 21% of total revenue. And about half of what you would see from similar companies with similar growth rates. And then George, do you want add anything else on the sales and marketing.
George Hu : No. I mean, first of all, let me say that I think that Twilio is very special model with its developer led acquisition. And some more efficient model and so therefore I don’t expect that we’re going to invest in sales and marketing to the level of like what we did to sales force in terms of percentage of revenue. I think it's just a very different model an apple and an orange. And so the way I would think about this leadership hires not that we’re going to ramp up sales and marketing expense those types of -- those like sales force like levels but I think that we have an opportunity here to do and to ask our developer motion to extend it. And to add, I talked about for example our engage programs to engage tactical decision makers, engage the business. And just I think it broadened the reach of Twilio. And so maybe by being able to speak with the business, by able to reach systems integrators, partners of all stripes, I think that what we get more leverage out of what we have. And then continue to get more value out of this I think very intelligent investment we’re making in go-to-market and we are seeing great returns from it.
Jonathan Kees : Okay. All right, make sense. I am sure for R&D; you’re just going to continue your normal product development. Are you guys trying to focus anything in terms of negotiation with the carriers, is that realizing I mean as much of investment priority but just curious of that, something that you’re looking to try to do for 2018.
Lee Kirkpatrick : Yes, Jonathon. That's the constant motion. So our super network team is continually negotiating with carriers to get the best rate, get the best quality and make up personal improvement to provide a high quality service for our customers.
Operator: There are no further questions at this time. Thank you for participating in today’s conference. You may now disconnect.